Operator: Good morning. My name is Lisa and I will be your conference operator today. At this time, I would like to welcome everyone to the Rogers Corporation 2013 Second Quarter Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. (Operator Instructions) Mr. Bruce Hoechner, President and CEO, you may begin your conference.
Bruce Hoechner : Thanks Lisa. Good morning everyone and thanks for joining us today. The slides for today’s call can be found on the Investors section of our website along with the news release that was issued yesterday. With me today are Dennis Loughran, Vice President, Finance and Chief Financial Officer and Bob Daigle, Senior Vice President and Chief Technology Officer. I will now turn it over to Dennis to dispense with the formalities.
Dennis Loughran : Thank you, Bruce. I would like to point out to all our listeners that statements in this conference call that are not strictly historical are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 and should be considered as subject to the many uncertainties that exist in Rogers’ operations and environment. These uncertainties include economic conditions, market demands, and competitive factors. Such factors could cause actual results to differ materially from those in any forward-looking statement. Also, the discussions during this conference call will include certain financial measures that were not prepared in accordance with Generally Accepted Accounting Principles. Reconciliation of those non-GAAP financial measures to the most directly comparable GAAP financial measures can be found in the slide deck for today’s call that can be found on our website’s Investors section. I will now turn it back over to Bruce.
Bruce Hoechner : Thank you Dennis. Over the past 18 months, we have undertaken a journey of transformation at Rogers, aggressive restructuring the business to operate more profitably and efficiently as we work together as a team to accelerate growth. We have reduced complexity throughout the organization. To improve our agility, new talent has joined the company in functions critical to driving growth such as R&D and marketing. And we have promoted from within to give high potential employees the opportunity to drive critical changes and improve the rigor of our processes. Together, we have focused on instilling a high performance culture across the organization and will continue to invest in engaging and developing our employees worldwide. I am very proud of our team and all that they have accomplished so far. When we started our transformational journey in the first quarter of 2012, the operating margin was at 5.7%. We are now projecting an operating margin of 12.5% for the third quarter of 2013 due to our collective efforts. Special charges related to operating margin improvements are essentially complete and will provide about $34 million in annualized sustainable profit improvements. Having worked through the challenges of restructuring, the company’s transformation is well underway with growing evidence of its success demonstrated by our results. During the second quarter, Rogers delivered solid revenue and margin improvements over the second quarter of last year. On the revenue side, we experienced robust growth in demand for printed circuit materials and a strong rebound in Power Electronics Solutions. Although the High Performance Foams business performance was not as strong this quarter, we believe we are well positioned for revenue improvement as the year continues. Moving to slide 4, you will find an overview of the second quarter performance by market. Key growth drivers included Clean Technology, Wireless Infrastructure, Automotive Active Safety Systems and Industrial Applications. In Clean Technology Applications, sales were up 22% over Q2 of 2012 and 13% over last quarter, due to strong demand for power electronics solutions in hybrid electric vehicles and solar power markets. We are also seeing increased demand for power modules for variable frequency motor drives. In Wireless Infrastructure, we delivered 13% growth in printed circuit materials for wireless base station and wireless antennae applications. Power amplifier sales growth is being driven by infrastructure installations around the world. Rogers has the majority of market share in high frequency circuit board technology used in 4G base station applications. The need for new technology required for wireless antenna also contributed to the segment’s growth. In Automatic Active Safety Systems, Rogers continues to see strong growth in demand for our printed circuit materials used in automotive safety sensors. Active blind spot detection is quickly becoming a must have for drivers around the world. As the leading provider of circuit materials technology supporting both the 24 gigahertz and 77 gigahertz designs, Rogers delivered 85% growth over the same quarter last year and 17% over Q1 in this segment. The Industrial segment, we saw significant growth in microchannel coolers for laser diode applications with sales up 47% over the same quarter of 2012 and 66% sequentially. As high power laser technology continues to revolutionize industrial metal cutting and welding, multiple kilowatt lasers are reducing costs and waste while speeding up processing. Rogers continues to capture new design wins with our unique cooler technology that helps control the high heat generated by these laser applications. Rogers also delivered 16% growth in industrial sealing applications for high performance foams across a wide variety of applications. Turning to slide 5, net sales were $132.5 million, up over 6% compared to last year’s second quarter. Our Printed Circuit Materials business generated a combined 12.5% growth due to the strong performance in wireless infrastructure and automotive safety sensor applications. We expect this momentum to carry forward throughout the year as demand continues to grow for 4G telecom and automotive safety features. We saw robust performance in our Power Electronics Solutions segment with revenues up 15% versus Q2 of last year and 19% ahead of last quarter. Sales of Curamik Electronics Solutions were up 19% versus Q2 of 2012 with highest growth in laser diode, solar power modules and energy efficient application – appliance markets. We also saw a 7% increase over last quarter in substrate for variable frequency drive power modules. On the Power Distribution Systems side of the business, sales were up 6% versus Q2 2012. Growing demand in automotive electric vehicles and renewable energy markets was moderated by the continued lag in market demand for rail propulsion system components, although we did see modest growth over Q1. Further improvement is expected when the Chinese government implements its announced investments in rail infrastructure. Despite growth in High Performance Foams across a wide array of markets like general industrial and consumer, personal protection, revenues were 8% below the second quarter of 2012. There were multiple factors for the decrease including lower content in tablet devices along with lagging demand in mass transit. Although we continue to maintain high market share in the tablet market, we expect to see a moderate growth rate going forward due to changes in device side, die-cutting yield improvements and ongoing share shifts across models and vendors. The diversity of our High Performance Foams business continues to be its key strength along with Rogers proven ability to continually find new performance markets and applications. Looking ahead, we expect to see increased demand for consumer and handheld device sales in the third quarter due to typical seasonality in advance of the holiday season. Moving to slide 6, design, collaboration and innovation will drive our future growth. We continue to collaborate with mobile OEMs to solve their materials challenges and be designed into their next generation platforms. We have a solid pipeline of design opportunities that will fuel Rogers growth. At the end of the second quarter, we were tracking a cumulative total of 748 major design opportunities, of which 425 have already been designed in. during the quarter, we moved 25 large opportunities from design into production. These figures reflect opportunities in our targeted megatrend categories of clean tech, Internet and mass transit with additional wins coming from industrial, automotive and consumer growth segments. We are investing in R&D and find new creative ways to accelerate development of commercially viable breakthrough innovations in advanced materials. As recently announced, we are moving quickly to establish a new type of innovation center for Rogers in partnership with Northeastern University. By co-locating a core team of R&D and marketing professionals with Northeastern University’s business oriented research professors and scientists, we believe we can speed up development and commercialization of new material solutions closely aligned with market needs. We are very excited about this innovation partnership and the growth opportunities it can open for Rogers and our customers. I will now turn it over to Dennis to report our financial highlights. Dennis?
Dennis Loughran: Thank you, Bruce, and good morning again to everyone. As reported in the press release, we achieved earnings from continuing operations of $0.32 per diluted share which includes net special charges of $0.21 per diluted share. The majority of the special charges were related to the 2013 cost improvement initiatives announced in our May 14, 2013 guidance update as well as our previously announced move of certain Curamik inspection operations to Hungary. We expect these combined efforts to generate benefits of approximately $2 million in the third quarter of 2013, increasing to a quarterly run rate of $3.5 million in the first quarter of 2014. At this time, we expect only an additional $250,000 of special charges in the third quarter of 2013 related to the completion of the Curamik inspection operation relocation activities. Our non-GAAP results of $0.53 per diluted share put us in at the midpoint of our Q2 non-GAAP guidance for the quarter, while sales for the quarter came in at $132.5 million, slightly above the midpoint of our guided range. Although many factors impacted our profitability during the quarter, one significant impact can be attributed to a decline of approximately $3 million in inventory. This decline resulted in lower overhead absorption and unfavorably affected margins, reducing EPS by about $0.03. The decline however was a positive event for our working capital position. During the quarter, we were successful in advancing significant actions that will improve our long-term profitability. In addition, many segments of our business have begun to show the topline strength of profitability improvement that we had been predicting the past few quarters. The comparisons to last year’s second quarter were equally favorable. Top line is up $7.2 million or almost 6%. Non-GAAP operating profit margin improved from 8.8% in 2Q 2012 to 10.1% in 2Q 2013. On the $7.2 million increase – sales increase, we delivered $7.1 million in gross margin improvement which is well above our typical 50% contribution level. This margin improvement stems mainly from the impact of last year’s streamlining efforts which provided approximately $3 million in sustainable cost reductions. Factors mitigating some of the positive margin tractions included incremental incentive and stock compensation accruals in 2013 approximately $1.7 million as well as a heavier spend level for marketing and R&D of approximately $2.7 million in total with most of that R&D. overall, we have still improved non-GAAP operating profit by almost 21%, confirming our commitment to improve profitability levels while continuing to invest in a strong, growing business. Turning to slide number 8, we added this special slide to follow on Bruce’s earlier comments regarding our past 18 months of improvement efforts and how they have transformed our financial picture. The slide depicts, starting in the first quarter of 2012, the quarterly special charges, the lower black bars; cumulative quarterly profit improvements, the upper green bars and the resultant quarterly operating profit percents, the blue trend line. As you see, the last six quarters have involved some substantial special charges. In 2012, those charges totaled $19.6 million to account for the early retirement, staff reductions, facility and business restructurings implemented during the year. We achieved full payback of those costs by the first quarter of 2013 and have ongoing quarterly benefits totaling $5.4 million related to those efforts. During the first six months of 2013we have implemented new efforts and have recognized $6.5 million in special charges related to the improvement initiatives at Curamik, a pension related curtailment charge due to the freezing of our defined benefit pension plans and severance charges from other cost reduction initiatives. In the third and fourth quarters of this year, we plan to achieve quarterly benefits of $2 million and $2.8 million respectively, totaling $4.8 million for the remainder of the year. We project that these sets of improvements will achieve peak quarterly savings of $3.5 million and full payback of special charges by the first quarter of 2014. The combined two year program improvements are expected to achieve annualized profit improvement impact of $35.6 million by the first quarter of 2014. Our gross margins for the last five quarters are depicted on slide number 9. With the second quarter of 2013 at 33.5% on a GAAP basis and 33.9% on a non-GAAP basis, after removing the costs associated with the startup of inspection operations at Curamik’s Hungary location and other special charges. That result represents a 370 basis point improvement as compared to the 30.2% non-GAAP gross margin reported in the second quarter of 2012. Approximately 226 basis points of this improvement is the result of the $3 million in streamlining benefits realized in the quarter as compared to prior year’s second quarter. We also improved 107 basis points related to the addition of incremental volume at approximately a 50% contribution level. The remaining net improvement of 37 basis points is primarily related to the favorable incremental impacts from our shutdowns in 2012 of our Bremen and CPM business units. Turning to commercial expenses on slide number 10. Excluding special charges that totaled $0.2 million during the quarter, selling and administrative expenses as percent of sales for the second quarter of 2013 and 2012 were 19.1% and 17.8% respectively. The net increase was primarily related to approximately $1.7 million in higher incentive and stock compensation costs not in the 2012 comparable period as well as previously described higher intangible amortization related to Curamik purchase accounting of $0.4 million and approximately $1 million in higher costs related to investments in key strategic areas including sales and marketing and other organizational initiatives. Research and development expenses were 4.7% of sales in the second quarter of 2013 and have ramped up each quarter since last year’s initial streamlining. In the near term, we expect our R&D spending rate to remain in the range of 4.5 to 5.0% of sales as we begin to fund staffing and initiatives related to the recently announced Rogers Innovation Center. Turning to slide number 11. Rogers ended the second quarter with a cash and cash equivalents position of $137 million as compared to $126.4 million at March 31, 2013. As represented in the slide, we have continued to manage cash in a manner to maintain sufficient liquid reserves for our current and future needs and have improved our net debt metric to a positive $44 million, representing a $68.2 million improvement versus the second quarter of last year. In the second quarter of 2013, the net increase in cash was primarily attributable to strong cash generated from operations of approximately $10.5 million net of a $5.4 million increase in net working capital primarily related to growth in accounts receivable offset by reductions in inventory. Those amounts were partially offset capital expenditures of $2.8 million and long-term debt repayments totaling $2.5 million, representing a scheduled repayment against our term loan facility. We currently have $93 million of outstanding debt, down from $120 million at the end of the second quarter of 2012. Turning to slide number 12. For the third quarter of 2013, we forecast net sales between $138 million and $142 million and earnings from continuing operations on a non-GAAP basis excluding any special charges between $0.67 and $0.77 per diluted share. At the midpoint, the guidance represents a $10.9 million or 8.4% sales improvement versus Q3 2012 net sales. The operating profit, as shown in the table at the bottom of this slide, in this projection we expect to deliver $5.1 million in margin improvement with contribution on the increased sales at 46.6%. That percent is slightly under our expected average of 50% as a higher proportion of our sales increase is expected to be in printed circuit materials and power electronics, where contribution margins are slightly below our average. One very positive thing to note is that last year’s third quarter results contained a reported $2.5 million of favorable impact from our 2012 streamlining efforts. So on a comparable basis, the expectation that we will deliver close to our average incremental contribution margin validates that we have retained that expected benefit over the course of the year. That contribution is expected to be offset primarily by the incurrence of an incremental $2.2 million in costs related to incentive compensation plans in the third quarter of 2013 as compared to the third quarter of 2012, which had no compensation expense. In SG&A – excuse me, which had no incentive compensation expense. In SG&A, you will also see we are estimating $2.6 million of cost savings net of inflation. However, that will likely be offset by strategic increases in expenditures for R&D, in line with our published goals of investing in technology to support our growth targets. Overall we expect that the midpoint of our guidance should deliver a 21% improvement in operating income compared to the third quarter of 2012. That should achieve a 12.5% operating profit as a percent of sales compared to the 11.2% reported in Q3 2012. Below operating income, there are several factors which we expect to impact third quarter performance relative to last year on an EPS basis. The largest factor in comparable results is our projected third quarter 2013 tax rate at 28% versus the 22% in the third quarter of 2012, which was impacted by some discrete favorable impacts lowering that quarter’s rate. The higher rate in Q3 2013 guidance would generate a negative impact of about $1.1 million to net income or negative $0.06 per share. We are also projecting our foreign exchange and other income component to be less favorable representing a decline of $0.02 per share. Lastly, a slightly higher share count in this year’s results is a dilution of approximately $0.02 per share. This concludes my remarks and I will now turn the call back over to Bruce.
Bruce Hoechner : Thanks Dennis. We’ll now open up the call for questions, Lisa?
Operator: (Operator Instructions) And your first question comes from the line of Daniel Moore from CJS Securities. Your line is open.
Daniel Moore – CJS Securities: Good morning and thank you for taking the questions.
Dennis Loughran : Sure.
Bruce Hoechner : Good morning.
Daniel Moore – CJS Securities: Looking at Curamik first, for the last few years we’ve seen some pretty wild swings reflecting inventory build and corrections in the supply chain. How much of the growth that you saw in the quarter and that you project in Q3 reflects true end market demand versus and how much of it might be some replenishing of inventories that were overly drawn down?
Bruce Hoechner : Our belief is that demand is there. It’s been pretty consistent. I think last call, we talked about, about a six week backlog and that’s been very consistent over the past quarter. So we see demand growing in a number of applications including variable speed motor drives as people see that investment growing. Also x-by-wire in automotive is another growth area for us. So we’re seeing pretty consistent demand here. We haven’t seen that variability that we saw maybe a year and a half ago or so.
Daniel Moore – CJS Securities: Appreciate it. And in foams, you gave us directionally a sense of magnitude of the decline in the quarter was a little bit of a surprise relative to our expectations. How confident are you in the rebound, the typical seasonal rebound in fiscal Q3? Should we be thinking about a return to annual growth in Q3 or just sort of an improvement sequentially versus the depressed Q2?
Bruce Hoechner : First of all, there is obviously a lot of variability obviously in the number this past quarter having to do with changes in design and so on. What we see moving forward for the next quarter and through the end of the year, we do see the seasonality improvement would be expected but we would also believe a year-on-year growth quarter-over-quarter would be expected.
Daniel Moore – CJS Securities: Appreciate it. I will jump back in queue. Thank you very much.
Operator: Your next question comes from Avinash Kant from D.A. Davidson & Company. Your line is now open.
Avinash Kant – D.A. Davidson & Co. : Good morning Bruce, Dennis and Bob.
Bruce Hoechner : Hi Avinash.
Dennis Loughran : Good morning.
Avinash Kant – D.A. Davidson & Co. : A few questions. I believe in mid-May when you gave your guidance, you had talked about your GAAP and non-GAAP numbers and if I remember correctly at that point, the charges were supposed to have a $0.15 impact on the quarter. You ended up having a $0.21 impact. Could you kind of point to us what all changed since then?
Dennis Loughran : The estimate in May turned out to be low primarily because of the severance related charges on an actual basis turned out slightly higher across the board in relation to some of the cost benefits that we had built in there. So we’re predicting slightly higher benefit and the severance charges when calculated out in finality for each individual position turned out to be higher Avinash.
Avinash Kant – D.A. Davidson & Co. : So it was just severance related, the $0.06 was severance related, you would say?
Dennis Loughran : Not exactly. We had estimates built in there related to the defined benefit pension plan also and those came in fairly close but primarily related to the severance pieces.
Avinash Kant – D.A. Davidson & Co. : Okay. And I think you talked a little bit about the tax rate in Q3, I think you said 28%. Is that how we should think of tax rate going forward? What should we think of for the fourth quarter and the next year maybe?
Dennis Loughran : When we predict that rate, we try to give it as something that can be considered sort of a flat line average for the next few quarters. We do however always have discrete items that impact the third quarter because it happens when we file our tax filings. There are certain adjustments to provision that result in either positive or negative adjustments. So the third quarter will always be slightly different than that predicted average. And in fourth quarter, there are certain provisions and end of statutory – statute limitations on certain FIN 48 provisions that can impact us that we’re not really allowed to project into the average rate. So yes, it is the average projected and you can put it in your model but we’ll always be slightly different in that in the third and fourth quarter; sort of unpredictable at this point.
Avinash Kant – D.A. Davidson & Co. : So the second quarter tax rate that you just reported, you would think was actually lower than the first quarter and would be lower than the third and fourth quarter. Is that right?
Dennis Loughran : Correct. 
Avinash Kant – D.A. Davidson & Co. : And what was the reason for that?
Dennis Loughran : Well the main reason is when we look at our income – when we predicted our rate, we look at incomes by region and taxable entity and they always come out slightly different. So we do the best we can, our [tax rate] looks at the whole year projection and predicts the best rate. And the quarter variability, typically ends up in some adjustment to that rate.
Avinash Kant – D.A. Davidson & Co. : So do you – you would say it’s dependent on the regional mix of the revenue?
Dennis Loughran : Exactly, and the level of revenue, to tell you the truth by region. I mean when we have lower tax rate jurisdictions, we can get a slightly favorable impact and it is the mix among the regions.
Avinash Kant – D.A. Davidson & Co. : And one final question. So basically, I think all the cost improvements and everything are pretty much we are done with now almost looks like. So when you have all the benefit coming back in Q1 of 2014 that you are talking about, what kind of gross margins and operating margins are we expecting in absolute terms at that point?
Dennis Loughran : You’re probably looking at another $3 million of benefit on quarterly income of $140 million, so a couple of 100 basis point improvement.
Avinash Kant – D.A. Davidson & Co. : In both gross and operating margins right?
Dennis Loughran : Yes.
Avinash Kant – D.A. Davidson & Co. : Perfect. Thank you so much.
Dennis Loughran : And I would count it with a comment, when you said our cost improvements are completed, we have ongoing efforts in value pricing, in operational excellence, in procurement and streamlining of our supply chain that are all ongoing. We don’t anticipate major restructuring charges related to those activities from here going forward but there is a continuous improvement effort here to seek those longer term margins and operating profits that we’ve described to the investor community. So it’s an ongoing effort.
Avinash Kant – D.A. Davidson & Co. : Thanks Dennis. I meant more the charges, on the charges front. Yeah, so thanks for clarifying.
Dennis Loughran : You bet. Thank you.
Operator: (Operator Instructions) Your next question comes from Jiwon Lee from Sidoti & Company. Your line is open.
Jiwon Lee – Sidoti & Company: Thank you and good morning.
Bruce Hoechner : Good morning Jiwon.
Dennis Loughran : Good morning Jiwon.
Jiwon Lee – Sidoti & Company: Just wanted to get a little more color on your third quarter revenue guidance. What kind of an operating sort of segment assumptions went in first of all please?
Dennis Loughran : The third quarter guidance had pretty strong growth across the three major segments. High Performance Foams up sequentially, Curamik, the power electronics up sequentially and our circuit materials up and they are seeing continued demand. So pretty strong across all – probably strongest in the High Performance Foams because we’re expecting a little more seasonal peak in terms of the production of their kind of products Jiwon.
Jiwon Lee – Sidoti & Company: Okay. And kind of staying on that specialty foam, I do recognize some of the things outside of the seasonality, it’s a little bit difficult to dig, but I wanted to get a little more update about the thinking behind the new tapes, if I can please?
Bruce Hoechner : So the new tapes that we’ve introduced, the double sided tape, foam tape, is basically in response to the design changes in the smartphone application. And basically it’s instead of a casketing around the glass, it goes behind the glass as impact protection. And the fact that it’s adhesives tape makes it easier for the folks who are assembling the phones to put them together and to do the assembly more quickly and in a thinner manner, which is of course one of the major trends in phones.
Jiwon Lee – Sidoti & Company: Could we expect some revenue traction in the second half on that or would there be sort of kind of off a very low base?
Bruce Hoechner : Well specifically on the foam tape it would be off a low base. We had some – we are in right now in design and application evaluation with a number of the OEMs and we fully expect to see that come through towards the end of the year.
Jiwon Lee – Sidoti & Company: Great. And then the high frequency circuit materials for the 4Gs or the LTEs, could you talk a little bit about the current market color, especially with the U.S., China and other markets in mind, how that spending, or the lack thereof now could impact your revenue potential for next year especially?
Bruce Hoechner : Well we’re actually very positive on this. What we’ve seen and I’ll start with China. China Telecom, China Mobile, China Unicom, all have looked out and said, they are moving to a 4G base over the course of the next year or so. And so we’re starting to see particularly on China Mobile a major movement to 4G and so we think that will be strengthening in the coming second half of the year and then certainly into 2014. More globally, with Sprint we believe will have to start moving to 4G, and we see that coming certainly ramping up late this year, early next year. So we’re starting to see really the movement that I think we’ve been talking about for the last six months to eight months in 4G build out.
Jiwon Lee – Sidoti & Company: Okay. Lastly, Bruce, just having gone through the series of restructurings and sort of with the design activities and all the alliances that you have, the infrastructure is now solidly in place?
Bruce Hoechner : Infrastructure is solidly in place. We’ve got the leadership in position, we’ve got our processes being improved on an ongoing basis as Dennis had outlined. And so we continue to evolve. We’ve made a lot of investments in R&D, in marketing and also in our manufacturing area. But that infrastructure is solid and now it’s a question of execution moving forward.
Jiwon Lee – Sidoti & Company: Thank you very much. I’ll hop off for now.
Dennis Loughran : Thanks.
Bruce Hoechner : Thanks.
Operator: And your next question comes from the line of Daniel Moore from CJS Securities. Your line is open.
Daniel Moore – CJS Securities: Thank you again. Didn’t mention much about power distribution. What was the revenue in the quarter and near-term outlook? And do you see any potential impact going forward from the recent high speed rail accident in Europe?
Bruce Hoechner : With regard to movement forward, certainly on the power distribution side, EV, electric vehicles are driving some of that growth. We’ve got a very strong partner and that – they continue to make inroads in their markets. On the rail side, clearly, the Chinese government is – has said that they need to make that investment. I was in China last week, I heard from a number of folks out there. They believe that the investment will be coming towards the end of this year, or early next year we should start seeing that progress. With regard to the rail situation in Europe, really, too early to tell what impact that’s going to have on any build out, but again, our belief based on what we heard from the leadership in China is that we’re going to start seeing that mass transit build out. Dennis, you might want to comment on…
Dennis Loughran : Yeah, Dan, the sales for the quarter in the actual space for the second quarter were $12.3 million. I believe that was up about 7 or 8% from the prior year same quarter. And in our guidance they would be roughly flat expectations in line with Bruce’s comments that we really are – we’re seeing nice movement in EV related to the modules that they put in those vehicles but really the mass transit high speed train thing is sort of a future wait and see because we do expect it to improve but it hasn’t yet.
Daniel Moore – CJS Securities: Very helpful. And lastly the net cash obviously continues to build. You’re approaching 50 million and even after a bit of a rebalanced stock it still appears undervalued relative to your longer term objectives. If you can’t find attractive acquisitions in the next 12 months or so, would you consider buying back stock at any point?
Dennis Loughran : We consider it every year with the Board and certainly we fully expect that our inorganic growth initiatives will bear fruit here. But if that was the case that there was nothing out there that met our needs and we didn’t spend that money, we will certainly reconsider it again. We have done it in the past. In my seven years with Rogers, I think we’ve bought back about $83 million to $84 million. It was earlier in my tenure, but we consider it every year and looked at that as possibility every time.
Daniel Moore – CJS Securities: Very helpful. Appreciate it.
Dennis Loughran : Thank you.
Bruce Hoechner : Thanks Dan.
Operator: And we have no further questions in queue. I’ll turn the call back to Bruce Hoechner for final comments.
Bruce Hoechner : Thanks Lisa. Looking ahead, we expect improving market conditions in high growth applications to boost revenues for the balance of the year. For the second half of the year, we believe that global 4G infrastructure investment and growing demand for automotive active safety systems will continue to drive growth in our Printed Circuit Materials. Increasing capital expenditures worldwide are expected to positively impact sales of power electronic solutions as well as industrial applications for High Performance Foams. We also expect seasonal market demand to positively impact foam’s revenue. We have made terrific progress on our profit improvement initiatives, transforming the company into a leaner, more efficient organization with greater market and customer focus. We have a strong portfolio of innovative products and are generating an exciting array of growing application spaces. Rogers continues to be a trusted partner of global technology leaders helping them to power, protect and connect our world. We expect to see an even stronger quarter in Q3 and a very bright future for Rogers ahead. Thanks for joining us on our call today.
Operator: This concludes today's conference call. You may now disconnect.